Operator: Good morning. My name is Patricia and I will be your conference operator today. At this time, I would like to welcome everyone to the Express, Inc. Third Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to hand the conference over to Greg Johnson, Vice President of Investor Relations. Please go ahead.
Greg Johnson: Thank you, Patricia. Good morning and welcome to our call. I'd like to open by reminding you of the company's Safe Harbor provisions. Any statements made during this conference call except those containing historical facts may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in forward-looking statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC, including today's press release. Express assumes no obligation to update any forward-looking statements or information except as required by law. Our comments today will supplement the detailed information provided in both the press release and the investor presentation available on the company's Investor Relations website. In addition, you can locate a reconciliation of any adjusted results discussed in our comments to amounts reported under GAAP on our website or in our earning release. We will also be providing financial comparisons to prior fiscal periods and our prepared remarks today refer to 2020 unless otherwise noted. Today, we will speak to our second quarter performance, including the positive acceleration we are seeing as the EXPRESSway Forward strategy continues to gain momentum, and the evidence of this information is well underway. Tomorrow, at 11:00 AM Eastern Time, at a virtual investor event, members of our management team will share what has been accomplished across each of the four foundational pillars of our strategy and, more importantly, how we will continue to generate profitable growth over the next several years. I hope all of you will join us. With me today are Tim Baxter, Chief Executive Officer and Matt Moellering, President Chief Operating Officer, and Interim Chief Financial Officer. I'll now turn the call over to Tim.
Tim Baxter: Thank you, Greg and good morning everyone. If you listened to our last earnings call, you heard me summarize our second quarter performance in one word, acceleration, and that acceleration continued into the third quarter. Our strong third quarter results reflect the second consecutive quarter of profitable growth and positive comparable sales compared to 2019. The EXPRESSway Forward strategy continues to gain momentum and we are well on our way from being known as a store in the mall to a brand with a purpose powered by a styling community. Sales in the third quarter grew 47% over 2020 and delivered a positive 3% comp compared to 2019. We achieved these results with a significant reduction in markdowns reflecting a more disciplined, strategic, and targeted approach we have taken to eliminate the majority of deep storewide and site wide promotions. This drove a 100 basis point merchandise margin expansion and delivered gross margin improvement of 500 basis points versus 2019. We generated positive operating income of $16 million and adjusted EPS of $0.17 against losses in both 2019 and 2020. Third quarter EBITDA of $32 million was $18 million greater than 2019 and we achieved free cash flow of $60 million in the first nine months of the year. We are selling more elevated products to more loyal customers at stronger margins and our results are tangible evidence that the versatility, quality and value of our product is resonating with consumers as they discover or rediscover Express. We continue to advance each one of the four foundational pillars of the EXPRESSway Forward strategy; product, brand, customer, and execution. Let me take you through some of the results we've achieved and what is still to come. I'll start with product. Our design and merchandising teams delivered outstanding product that brings the Express and its philosophy to life and reflects the way people build their wardrobes and get dressed today. One of the most important aspects of reimagining our product was to infuse versatility throughout the assortments. That approach has been impactful and today with research showing how eager people are to get out of sweatpants and into more fashionable clothing without sacrificing comfort, this is more important than ever. We see further evidence of this mindset shift in overall industry search behavior with occasion based categories trending up and the most casual categories trending down. The breadth of our assortment and an unwavering emphasis on versatility put us in a strong position to meet these needs and we are gaining momentum in our occasion based categories. Women's dresses for example, were up 22% and men's suits were up 20% versus 2019. Express customers have always appreciated newness and relied on us to help them be of the now. So we have a consistent flow of fashion in each category and in every delivery. Denim is the foundation of every modern wardrobe. So we completely reinvented our offering and are a much more powerful player than we were a year ago, driving a 12% increase versus 2019 and our best third quarter results in recent history. There has been a shift within this category to wider leg shapes and this change in proportion is driving the purchase of new tops and shoes to complete the look. Express essentials are foundational pieces that help build more flexible, versatile wardrobes and have been standout performers. In women's body contour is now 50% of our knit tops business and drove a 28% increase in the category versus 2019. In men's polos and graphic tees drove a 39% increase versus 2019 repeating their strong Q2 performance and delivering their best third-quarter volume. Now let me turn to our second pillar, brand. Reinvigorating the Express brand started with reimagining our product and we have done that. And of the now product must be reinforced by an of the now brand. We have clarified our brand message and articulated a clear compelling brand purpose. That purpose is to create confidence and inspire self expression and is woven through everything we do. Google organic brand demand increased 25% in the third quarter compared to 2019, a remarkable increase from up 7% in Q2 and down 6% in Q1. Brand tracking measures, social media engagement, and customer feedback, all validate the direction we've taken and indicate that we are making great progress. There have been significant increases in the consumption of video content on social media and our marketing approach has evolved to keep pace, with a focus on TikTok, Instagram Reels and live streams. Our Q2 brand campaign, called #ExpressReentry featured TikTok and Instagram influencers and drove 49 million impressions across all social platforms. In the third quarter, we continued to leverage both the social space and our styling community with a new campaign called 30 Seconds to Confidence. Once again we featured TikTok and Instagram influencers as well as Express customers and drove 58 million impressions. In September we launched a partnership with Big Brothers Big Sisters of America to lend our voice and our support to their big futures program which provides mentorship to help young people reach their full potential. We kicked off the partnership with a segment on the Kelly Clarkson showed that reached over 1.3 million broadcast viewers and drove 7 million digital impressions. Mentorship is one of the most powerful ways to create confidence and I'm proud of our team for bringing this purpose driven partnership to life. We committed to raise $1 million and volunteer over 100,000 hours for this incredible program and are already off to a really strong start. Our third pillar is customer. We continue to engage existing customers and acquire new ones and have seen existing customer spend increase by 7%. New customer acquisition increased by 2% and lapsed customer reactivation increased by 22% compared to 2019. We re-launched the Express Insider loyalty program in the first quarter of this year and have seen strong performance from our most loyal customers. Since the re-launch we have brought in nearly 2 million new customers to the program and reactivated 1.8 million lapsed customers. We are especially encouraged by the new customer performance, both in Q3 and since the re-launch, because it is such a powerful indication that our new product and brand messages are resonating. Our fourth pillar is execution. Outstanding execution helped drive momentum in each one of our channels and reinforces that our EXPRESSway Forward strategy is successfully advancing our eCommerce, retail and outlet businesses. We are a much stronger multi-channel player than we were two years ago. Let me provide an update on our progress in each of our channels starting with the eCommerce. We have previously stated a goal to achieve $1 billion in eCommerce demand by 2024 and are on track to achieve this target. Continuing the momentum, we experienced in the second quarter, traffic in conversion increased significantly driving demand up 26% compared to 2020. Guiding our efforts are two key approaches, knowing our customers and connecting our customers. Knowing our customers means leveraging data to provide more relevant and personalized experiences. Connecting our customers, is about building community and using digital tools that make it easy for customers to inspire each other, all of which furthers our evolution to a styling community. A number of on-going digital advancements fuel these strategies. We have continued to enrich our product pages and developed ways to help people shop with greater ease and confidence such as an outfitting tool, user generated content and digital stylus. Going forward, we will continue to improve these experiences and in 2022, we will enhance our checkout process and add a filter by store location function to make the multi-channel shopping experience even easier and more intuitive. As we continue to experiment with new ways to shop, we recently held our first live stream shopping event. Customer engagement was high, over 500,000 viewers attended. Results we're certainly encouraging and we will accelerate this format as we move into 2022. Digital advancements are also driving our mobile app, as we add features and functionality to bring it closer to parity with the website experience. In the third quarter, app demand was up 48%, traffic increased 35%, and conversion was 40 basis points higher versus 2019. We now have over 2.2 million app users, our most highly engaged customers, making four more visits and spending $200 more each year than customers who only shop through our website or in one of our stores. We expect that our innovative Express community commerce program will drive increased digital revenue, attract new customers, engage existing customers and bring our brand purpose to life in a distinctive and powerful way. In Q3 we began, the National Rollout of Community Commerce and named Rachel Zoe as our lead style editor. As a recognizable and respected fashion authority, Rachel will help recruit, guide and mentor our style editors. She will work with our design and merchandising teams on exclusive product collaborations and special curations and lend her voice and reach to further amplify this innovative program. In the future, we will integrate these style editors into our brick-and-mortar store experience, as another way to deliver on our brand purpose and bring the Express styling community to life. Another important element of our transformation to a styling community is the complete reimagining of the customer experience in our stores through a pilot program. We call these particular pilot stores, Express Style Studios, and they are high-energy environments where customers can enhance their personal style, with the guidance of teams we call, Express Style Squads. From how we recruit and hire, to how we provide knowledge in styling education, to how we engage with customers, our teams are exploring different approaches. Initial results are encouraging with pilot store significantly outpacing the rest of our fleet. We will refine and perfect the operating model before rolling this component nationally. With that said, we are already applying some of these learnings to stores outside the pilot program and I'll have a further update next quarter. Physical stores will continue to be an integral part of the EXPRESSway Forward strategy, and our retail store sales gained momentum in the third quarter, achieving a 27% increase in average unit retail versus 2019, due to the excellent response to our new product, combined with a significant reduction in promotional activity. According to third party data, our store traffic has been higher than the total mall average, which I attribute to the appeal of our product message and the strength of our marketing. Our Express Edit concept stores are an important complement to our larger and mostly mall-based Express fleet and a way for us to diversify our brick-and-mortar portfolio. Most of these smaller format stores are in well trafficked neighbourhood locations, with the product assortment that reflects the particular taste and spirit of each marketed neighbourhood. We now have five of these stores, each under 4500 square feet, and our newest, is in Chestnut Hill in Boston, where we selected our first in-mall location to explore this concept’s appeal in a luxury mall environment. In the Express Edit stores new customers represented nearly 50% of the total, and reactivation was 18%, meaningfully higher than the balance of our fleet. We have also posted higher eCommerce sales in the zip codes which speaks to the power of our multi-channel model. Our outlet channel is now fully aligned to the Express Edit philosophy and assortment strategy, which allows us to be less promotional in our retail stores, while still offering our customers a compelling value option. Our AUR increased 17% and drove a positive 6% comp in Q3. Our UpWest brand also performed really well in the quarter, opening two new stores, bringing the total to seven, and posting higher customer acquisition and increased online sales in markets with physical stores. As a way to dimensionalize the UpWest purpose to deliver comfort, the team launched Comfort for a Good Day and associates spent the day performing acts of service in their communities. The business continues to gain momentum and is well positioned to be a powerful growth engine for our company. As the industry continues to confront supply chain challenges we are carefully navigating and managing the situation. Our teams have been agile and flexible and continue to respond to the volatility and unpredictability with smart thoughtful solutions. For example, we accelerated our receipts in core products, with limited markdown risk and key fashion categories, deployed air freight strategically and increased delivery frequency to our stores. As a result, our inventory is well-positioned to deliver positive comparable sales and gross margin expansion versus 2019 in the fourth quarter. Now let me turn the call over to Matt, who will provide more detail on our third quarter results and share our view for the balance of the year.
Matt Moellering: Thank you, Tim. I'll take you through our third quarter results, review our liquidity position and provide a high-level outlook on the fourth quarter. My comments on comparisons will be to 2020 with some additional colour on our performance versus 2019. Third quarter net sales were $472 million, an increase of 47% and consolidated comparable sales were up 46% versus 2020. Compared to 2019, consolidated comparable sales were positive 3% with total retail comps, at plus 2% and outlook comps, at plus 6%. As Tim already mentioned, these results were achieved with a significant reduction in promotional activity, reflecting the advancement of our product and brand strategies. We generated positive comparable sales in our retail channel despite having 20 fewer deep, storewide and site wide promotional days in the quarter versus 2019. As a result, merchandise margin expanded by 1350 basis points compared to 2020. Compared to 2019, merchandise margin increased by approximately 100 basis points. Buying and occupancy expenses levered 1,550 basis points versus 2020. This improvement was driven by increased sales and rent reductions. Compared to 2019, buying and occupancy expenses leveraged approximately 400 basis points, driven by reductions in our expense structure. During the third quarter, we had a gross profit of $157 million, with the gross margin rate of 33.2%, an increase of 2900 basis points as compared to 2020. Compared to 2019, gross margin increased by approximately 500 basis points. SG&A expenses were $141 million leveraging by 900 basis points compared to 2020, driven by sales increases in our 2020 restructuring activity. We continue to invest in marketing with a dual focus on customer acquisition and the long-term health of our brand, and we expect this will continue into the fourth quarter. Compared to 2019, SG&A expenses were down $3 million. Third quarter operating income was, $16 million compared to a loss of $111 million in 2020 and a loss of $7 million in 2019. Third Quarter diluted earnings per share were $0.19 on a GAAP basis, compared to a loss of $1.39 in 2020. Excluding the benefit of $1.5 million, resulting from the partial release of the valuation allowance booked against our deferred tax assets, our adjusted diluted earnings per share were $0.17. Our effective tax rate for the third quarter was 2%, which reflects the benefit of the previously mentioned valuation allowance release. Excluding this benefit, our effective tax rate would have been approximately 13%. EBITDA was $32 million during the quarter and $39 million dollars for the first nine-months of the year. Turning to our balance sheet and cash flow, we ended the quarter with $37 million of cash and cash equivalents. For the first nine-months of the year, operating cash flow was $78 million and free cash flow was $60 million. Compared to 2020, our inventory was up 9%. We first took action to address global supply chain challenges in the spring, making strategic investments in core product with limited markdown risk, such as men's suits, men's and women's denim and body contour. We utilized air freight to relieve some vessel and port bottlenecks and expanded our domestic delivery network to ensure timely deliveries from the port to our distribution centres and stores. As a result, we are well-positioned on both the newness and composition of our inventory to deliver positive comparable sales in the fourth quarter. We continue to pull forward orders for spring 2022 to ensure on-time deliveries while minimizing incremental costs. This will elevate year-end inventory above historic levels and we believe this is the prudent course of action given the ongoing supply chain challenges. Our balance sheet at the end of the third quarter continues to reflect a $52 million Cares Act receivable, which we now expect to collect in 2022. Our borrowings, at the end of the third quarter were $122 million, of which $25 million was drawn against our existing ABL credit facility, and the remaining $97 million was drawn on our term loans. Our liquidity is solid, with $156 million available for borrowing under our revolving credit facility at the end of the third quarter. Turning to our outlook, we took a balanced approach as we developed our expectations. We considered our strong second and third quarter performance and the power of our product, brand and customer strategies against the ongoing supply chain constraints, tight labour market, other inflationary pressures and the continued potential impact of the pandemic. As such, compared to the fourth quarter and full year of 2019 we expect the following for the fourth quarter and full year of 2021. Comparable sales to increase by low single-digits for the fourth quarter, gross margin rate to be approximately 100 basis points higher for the fourth quarter, which includes the negative $15 million expense impact of mitigating supply chain challenges. SG&A expenses up 9% to 11% driven by investments in marketing and higher labour expenses, positive free cash flow for the full year and we are on track to deliver our goal of $100 million of operating income by 2024. To summarize, our EXPRESSway Forward strategy is working and we delivered the second consecutive quarter of profitable growth. We are carefully navigating and managing the ongoing supply chain challenges and are well positioned to achieve our expectations for continued growth in the fourth quarter. I will now turn the call back to Tim.
Tim Baxter: Thanks, Matt. This morning, we announced that Antonio Lucio has been appointed to our Board of Directors. Antonio is the Founder & Principal of 5S Diversity, an Executive Fellow at the Yale University School of Management and was the Global Chief Marketing Officer at Facebook from 2018 to 2020. In addition to Facebook, his background includes HP, Visa, PepsiCo, Kraft General Foods and Procter and Gamble. As we continue our transformation to a styling community, Antonio's perspective will be invaluable and his track record of driving results while advancing inclusive leadership will be beneficial to our diversity, equity and inclusion mission. I will conclude where I began. Our performance in the second and third quarters can be summarized in one word, acceleration. Sales for the quarter grew nearly 50%. We expanded merchandise margin and gross margin. We generated positive operating income and EPS compared to losses for the past two years. In the fourth quarter, we expect this acceleration to continue delivering a positive comp, gross margin expansion and positive free cash flow for the full year. Thank you all for your interest in our company and we'll now take your questions.
Operator: [Operator Instructions] You're your first question comes from the line of Marni Shapiro from The Retail Tracker. Your line is open.
Marni Shapiro: Hey everybody, congratulations. Stores look really...
Tim Baxter: Good morning, Marni.
Marni Shapiro: The stores look fantastic that's Sequin hounds too, so good. Can we talk a little bit about the balance in your stores right now and going forward between value and fashion, I'm guessing now that you've improved the sophistication level, the quality of the product, you're bringing new and lapsed shoppers in because the product looks so good. At the same time, your values are really exceptional out there, compared to other contemporary brands, online or even in-department stores. So, I guess how are you thinking about that value going forward? And even in that context, is there room to take some price increases on some of the items where historically, your prices would have been a little bit lower and other prices have gone up. Is there room for you to go up a little bit more?
Tim Baxter: Yes, thank you. Thank you, Marni. We are, I believe and I have said this before, we are playing a very distinctive role in American retail right now. And there is nobody doing what we are doing, in the way that we are doing it. And that is true in both men's and women's from my perspective. And we are, to your point, we are developing and delivering fantastic contemporary product that appeals to multiple generations and we're doing it at incredible value. I would put the quality and make of our product up against any one of our competitors and the value to your point is there. We have seen as I said, a 27% increase in our average unit retail. So, the customer is absolutely responding and sees very clearly the value in the product. I do think that we have the opportunity to get more for some of our product. And so we certainly will continue to evaluate the marketplace and continue to price the product competitively, because we also do want to be a brand that is selling products, that the value is so clear, you know that we continue this trajectory that we're on, of selling the product at regular price. And if it doesn't sell at regular price, because there will always be mistakes, we will take the markdowns, move it into the clearance bucket and move on.
Matt Moellering: We have also reduced promotional activity significantly. A lot of that is driven by the improvement in the product, both quality and fashion over the past several quarters now very successfully. But we just haven't dropped all that to profit. We have taken a portion of the markdown dollar reduction and have reinvested that back into marketing because we feel so good about all the work that's been done from a brand standpoint and we think that can also set us apart. You have very strong fashion, which is price insensitive and then you have a very strong brand, the combination of those creates value and pricing power as well.
Marni Shapiro: Yes.
Tim Baxter: And the reality is Marni, we need to get continue to have people rediscovering the Express brand or new customers discovering it for the first time. So that investment in marketing has really been a powerful strategy for us in bringing new people into the brand and having people rediscover the brand reactivating lapsed customers.
Marni Shapiro: I was actually going to ask about bringing in new customers. The live streaming event that you did, it looked like it had really great engagement. People were having full conversations on the site. With that existing customers, new customers just a little bit about the makeup there?
Tim Baxter: It was, it was quite a bit of both, actually. And, you know, from my perspective, the most encouraging part of that engagement during the live stream events is that, it's indicative of the styling community that we are trying to create. What you described, our customers actually speaking to each other, having conversations, that is exactly what, you know, our brands purpose, creating confidence, but doing that through a styling community, it really came to life in those styling events, not just by our hosts, who I think did an incredible job, but also just with customers interacting with one another. So we had over 500,000 views in the first three events that we did, one was on Facebook Live, and two were on the Express.com platform. So really, really encouraged and looking forward to expanding that platform as we move forward.
Marni Shapiro: It was fantastic. Thanks, guys. I'll let somebody else go from here. Best of luck for Holiday.
Tim Baxter: Thanks Marni.
Matt Moellering: Thank you.
Operator: And your next question is from the line of Roxanne Meyer from MKM Partners. Your line is open.
Roxanne Meyer: Great, good morning. My first question is just that to better understand the build in your inventory, particularly versus 2019, can you talk about how much of the build is for holiday versus spring perhaps? And to what extent was there any carryover from third quarter? Thank you.
Tim Baxter: Yes, Roxanne, we had very little. So as I mentioned on the call on the prepared remarks, we were up about 9% in total inventory. As you look at that, there are two components to that. First, very little of it is spring, most of it is billed for holidays this year and as you look at that, what's also included in the build is extra logistics costs. So that $15 million of logistics costs that we talked about, about $13 million was on the balance sheet at the end of the third quarter, as we were building for holiday. And then on top of that, we are pulling forward orders. Right now what was on the balance sheet, at the end of the third quarter was primarily inventory for the fourth quarter. We will be pulling inventory from the first quarter into the fourth quarter as well. So we are out in front of this logistics issue. We feel really good about how we have managed the logistics issue. We've been strategic and surgical in our approach versus just throwing money at the problem. And we've mitigated that through everything, way back in spring, we started pulling forward orders and so we continue to do that. We're extending our timeline by about two to four weeks on the orders we're pulling forward to give us time to make sure we get the orders in without having to air them in. We took time out of the system in areas where we could control as well. So everything from when -- if the product gets to the port to the DC we've reduced time there, we've reduced time from within the distribution center, processing and DC to stores, we've reduced time there too. So we feel great about the inventory levels we have heading into holiday here. And we also feel good about the direction we're headed for spring as well setting us up for a strong spring season too.
Roxanne Meyer: That is good, great to hear. Can you talk about the composition of the inventory for holiday, you know, how your mix of products may be different than last holiday based on what you're able to bring in on time versus what you may be perhaps needed to cancel?
Tim Baxter: Yes, well it's interesting, Roxanne. I would say that our composition, the composition of our inventory is entirely different than it was certainly two years ago for holiday and is also different than where we were a year ago. And it reflects the composition of our inventory reflects this much more balanced approach by category in order to deliver on our promise of versatility. So, as I said in our prepared remarks, we are seeing growth in category like denim where we delivered a 12% increase, so we have a much more significant investment in denim that is driving that increase and expect that we will continue to gain market share in denim. We also introduced Express Essentials. And so body contour, for example, as I said, representing over 50% of our sales and knit tops, and driving that total category to a 27% increase versus a couple of years ago. So the composition of the inventory is very different, because our approach is very different. And, and the composition of the inventory today reflects a much more balanced approach to the way people get dressed today. That being said, we've also really been very strategic in taking strong positions in categories like men's suits, which have historically been very powerful categories for us. And we were obviously very depressed during the throes of the pandemic, but as I said, we've seen a real resurgence there. So the, I guess my answer in total would be that our inventories today are much more balanced by classification, much more balanced to the way consumers build their wardrobes, and really positioned us well, for both the fourth quarter as the occasion based categories continue to accelerate, and as we move into the first quarter, as we're positioned well, in all these other categories. I would be remiss in saying that there are some challenges that we faced, obviously, because of the delivery issues. We have, for example, great sets, sweater sets and women's wear, the tops were delivered at a different time than the bottoms. So there have been challenges in terms of the composition of the inventory related to the bigger global supply chain challenges. But as Matt said, our teams have done a fantastic job of mitigating those challenges, and positioning our inventory very well.
Matt Moellering: And there are a few, there are some items that we originally anticipated getting in just as an example, let's say November 15 that we might be getting in on December 1. We lose two weeks of selling there for that item. We are taking a close look at each item. There's not a lot of that, but there is some of that for sure, just like every company has, we're taking a look at that. And making decisions on a lot of these, it's great product, just a smaller window to sell the product in. In some cases, we will pack and hold that product and sell it in our outlet channel next year as well. So there will be a little bit of that, but that will mitigate some of the items that are a little bit late as well from a profit standpoint.
Roxanne Meyer: Great, thanks so much for that color. One final question is just on the outlet improvements that you saw, you called out a 6% comp. You know, just wondering, I'm assuming that is the result of some of your newer strategies there for with made for outlet product, but just looking for any additional color and where are you in that transformation of the strategy?
Tim Baxter: Yes, so it is, I would attribute all of the growth in outlets to our new product and brand strategies and the execution of our outlet team. They've done an incredible job of bringing our Express edit design philosophy to life at a stronger value than what we offer in our retail stores and in our eCommerce channel. And they have built the assortment so that it has the same level of consistent newness, the same level of fashion as we do in our retail business. And that has been an enormous driver of the results there. So I expect that we will continue to see improved comps in our outlet channel as that strategy, as our product strategies and our marketing strategies continued to take hold, and that that channel really reflects the Express design philosophy, the assortment really reflects Express incredibly well at a better value.
Roxanne Meyer: Great, thanks so much and best of luck for holiday.
Tim Baxter: Thanks Roxanne.
Operator: [Operator Instructions] Your next question comes from the line of Steven Marotta from CL King. Your line is open.
Steven Marotta: Good morning Tim, Matt and Greg. Congratulations on the fundamental improvement across the board. Tim, when you should think -- sure thing, I know that were not providing guidance of course for the next fiscal year, but maybe Tim can you talk a little bit about first of all from the merchandise mix standpoint what you are excited about and how you believe that the choices that are made for the coming fiscal year will be the right ones? And also just generally, the opportunity just well as risks in the coming year? Thank you.
Tim Baxter: Well, you know, I will start with opportunity. As I said and as we provided outlook for fourth quarter, we anticipate having another quarter of positive comparable growth versus pre-pandemic levels. And there is no reason for me to believe that we will not continue to gain momentum as we move into 2022 and we will be very well positioned to do that. As we move into 2022, I would say that the biggest opportunity for us is the balance of our assortment and this much more balanced approach that we have taken by classification and our ability to drive not only categories that have been very powerful for us in the past like men's suits, men's dress shirts, women's dresses, women's wovens, but also to drive Express Essentials, to drive denim, to drive accessories. So that balanced approach is going to be very, very powerful for us as we move into 2022. And the second thing that I would say is that we have been consistently building our customer file. So if you think about the Express Insider program, we've brought over 2 million new customers into that program. And we've reactivated about 1.8 million customers in that program who hadn't been shopping with us in the past couple of years. Those are our most valuable customers. So the combination of a balanced assortment that delivers the right fashion at the right value across all categories, and more engaged, loyal customers in our loyalty program, that's a winning combination. Those things and we're going to continue to invest in marketing. So we're going to continue to invest in marketing to continue to bring even more people into the Express styling community, into the Express brand. And so, I'm very, very optimistic about the strategy really taking hold as we move into 2022.
Matt Moellering: So talking about the headwinds in 2022, as well, I really see three. Tim, always gets the fun part talking about the opportunity. So three things on the headwinds. One is obviously the logistics challenges will continue into at least the back half of 2022. And we feel good about where we are. We have gotten out in front of this. We put a lot of processes in place. We have managed through this during the third quarter and the fourth quarter very well in our minds, and didn't spend an inordinate amount of money doing so. We did -- took a lot of strategic actions in order to get there. People who have a lot of money hung up on the balance sheet right now, because of the logistics costs they've incurred, will have to relieve those in the fourth quarter, first quarter second quarter. We don't have that. We have a little bit of logistics costs that will go into the first quarter, but not an inordinate amount. Second thing is, obviously inflation is on the horizon and as we talked earlier on the call, we feel like we are better positioned than many with inflation, given the pricing power we have at our disposal, better quality product, high a better fashion content in our product, and our architecture is now in place to really succeed. And we feel great about all the brand work we've done. And we -- as Tim just mentioned, we're continuing to invest in marketing spend, in order to really, really get that message out to existing customers and new customers, which will in turn provide pricing power for us. And then the third thing obviously out there that everybody's talking about is labor challenges. One thing I will say about labor is we feel good about where we are for holiday in our stores. You have a huge ramp up into Q4 for stores. Again, we took a strategic approach to how we managed our labor. We didn't just provide a blanket increase in wages. We took a lot of strategic actions and surgical actions in areas of the country that had more problems than others versus blanket increasing wages and have in our minds done a very good job managing through that, so we don't have that hangover going into 2022 as well. So those are the big three. We think we're well positioned to manage through those in 2022.
Steven Marotta: Matt, that's very helpful. And I do want to just follow up on one of the other things you mentioned about pulling forward spring deliveries. Because you did not do that with air freight, I'm assuming that was simply releasing the factories to provide that those items in an expedited fashion, is that accurate?
Matt Moellering: We've done a couple of things. And without getting into the competitive pieces around this, at a high level, some of the things that we have done. Number one, we have platformed more fabric to get out in front of the cotton cost, but also, the mills in China where there are problems. We're platforming more fabric so that we have more flexibility and more at our disposal to work with. And then the second thing is, we are adding to our lead times in order to make sure we get the product in on time without having to air product. That being said, Q1, we will have about $6 million to $7 million of logistics expenses and that's down significantly, relative to Q4 of $15 million. And then it should trail off dramatically after that, because we're getting out way in front of this.
Steven Marotta: That's very helpful. Tim, last question is, as it pertains to the UpWest performance in the third quarter, and I know that they are a digitally native brand, can you talk a little bit about the split currently between digital and brick and mortar?
Tim Baxter: Yes, the vast majority of the sales of UpWest are still happening in the digital space. But as I said, we're very, very bullish on building a multi-channel brand. The fact is that our sales, our demand, our online demand actually increases substantially in markets where we open a store. And we are able to bring new customers into the brand at much faster paces in those communities where we have a physical location. So we will continue to invest in physical locations, and digital growth for UpWest. And like I said, it is a brand we are tracking ahead of many digitally native brands in their second year, who've gone on to be very powerful standalone brands. So this is a really incredible growth opportunity. We are positioned to really grow this brand exponentially over the next few years. So really encouraged by the results that we saw in the third quarter, and confident that those results are going to continue in the fourth quarter and as we move into 2022.
Steven Marotta: Very helpful, thank you. I'll take the balance offline.
Tim Baxter: Great. Thanks, Steve.
Operator: There are no further questions at this time. Mr. Baxter, I will turn the call back to you for your closing remarks.
Tim Baxter: Thank you everyone for joining us this morning. And I look forward to chatting with all of you again to share our fourth quarter results.
Operator: And this concludes this conference. Thank you all for participating. You may now disconnect.